Operator: Welcome to the Durr Conference Call for the First Nine Months of 2024 followed by a Q&A Session. I will now hand over to Andreas Schaller, Head of Investor Relations of Durr AG.
Andreas Schaller: Thank you very much. Ladies and gentlemen, good afternoon and good morning to those of you in the U.S. Welcome everybody to our Q3 earnings conference call. Joining me on the call today are our CEO, Jochen Weyrauch; and our CFO, Dietmar Heinrich. They will present the third quarter and first 9 months results as well as the outlook and we’ll be happy to answer your questions afterwards. As always, our earnings presentation is available on our Investor Relations website, and we assume that you have it in front of you. Please refer to our disclaimer regarding forward-looking statements on Slide 2. And now it’s my pleasure to hand over to our CEO, Jochen.
Jochen Weyrauch: Thank you, Andreas, for that brief introduction and a warm welcome also from our side to all participants on this call. Dietmar and I are currently in China with members of our division management. China remains important for us as a market and as an international base for engineering and production. This week, we’re visiting the Durr Group sites to get a first-hand impression of the local dynamics. Next week, we will hold our Open House in Shanghai. That’s an in-house trade fair where we will showcase innovations and demonstrate how our solutions for paint shops, final assembly and environmental technology can improve our customers’ production performance. But for now, let’s take a look at our Q3 results. I will start with the highlights on Slide 5. Overall, it was a pretty good quarter and we are well on track to reach our targets. We achieved a high order intake of €1.2 billion. This brings us to a new record order intake for the first 9 months of €4 billion. The main driver was once again our automotive business where customers continue to invest in modernization and replacement of their own painting lines. These projects typically extend over several years and the project pipeline continues to look solid. The order backlog reached €4.5 billion. It declined slightly compared with the end of Q2, mainly due to negative exchange rate effects. Revenues were in line with the prior year at around €1.2 billion. The book-to-bill ratio for the first 9 months was 1.16 and the EBIT margin before extraordinary effects improved sequentially to 5.6%. Our divisions, Paint and Final Assembly Systems, Application Technology and Clean Technology Systems reached or exceeded the mid-cycle margin targets. The extraordinary effects in Q3 were positive and included a book gain from the sale of Agramkow as we had announced already in the previous call. Free cash flow was strong in Q3, driven by a high order intake and the continued disciplined net working capital management. Based on the positive development in the first 9 months, we confirm our outlook for 2024. Given the high order intake level after 9 months, we see a very good chance to reach the upper end of the guidance corridor for order intake and free cash flow. On Slide 6, we see the key financial indicators for the first 9 months. Order intake was up 14% and includes a consolidation effect of €234 million related to the BBS Automation and Ingecal acquisitions. Sales of €3.4 billion include consolidation effect of €208 million. This more than compensates for the 14% decline in sales at HOMAG. And moreover, we achieved sales increases in the Automotive and Clean Technology business. EBIT before extraordinary effects decreased by 4% and the margin was 40 basis points lower. The decline is mainly due to a strong base effect from last year as HOMAG recorded a margin of 9% in Q3 of last year compared to 3.9% this year. Net income decreased by 24% in the first 9 months due to a higher PPA effect following the acquisition of BBS Automation and higher interest costs. The book gain from the sale of Agramkow had a positive impact. The free cash flow of €82 million after 9 months is strong. We have benefited from the high order intake and are well on track to reach the upper end of our guidance. Let’s take a closer look at the order intake on Slide 7. Compared to last year, the order levels are higher and more stable. I already mentioned the solid order momentum in Automotive as well as the consolidation effect of BBS Automation and Ingecal. In addition, Clean Technology Systems and HOMAG contributed to the 31% year-over-year order growth in Q3. On Slide 8, we see the geographic distribution of the order intake. The Americas and Europe are growing. Orders in Germany reflect the large order we received in Q1. In China, we see a decline, reflecting the current weaker economic development. The lower level for the rest of the world is due to a strong base effect from a large order that we received in the Middle East last year. Overall, we are benefiting from a strong global footprint with operations close to our customer base. On Slide 9, I would like to give you a brief update on our strategic initiative to focus more on our core business of automating production processes and reduce the number of divisions from 5 to 3. Preparation for the merger of our Paint and Final Assembly Systems and Application Technology divisions into the new Automotive division are progressing as planned. We are thus well on track for the go-live of the new division on January 1, 2025. The strategic review of the environmental business of our Clean Technology Systems division is also progressing. This includes exploring the potential sale of this business. We kindly ask for your understanding that we will not provide further details at this stage. The decision has not yet been finally taken, and we will keep you up informed of any significant developments. Now let’s have a look at the divisional development. We will start with Paint and Final Assembly Systems on Slide 11. Order intake remained strong in Q3. Customers continue to place orders for medium to long-term projects. The project pipeline continues to look solid and we continue to focus on the most promising projects with regard to our value before volume strategy also in this quarter. Sequential sales growth have been slowed by delays at some customers, but we expect an acceleration in Q4. The EBIT margin before extraordinary effects improved strongly in Q3 and we are within our target range after the first 9 months. This is driven by a healthy service business and higher gross margins in the equipment business due to our strategy as reported. Let’s turn to Application Technology on Slide 12. Order intake continued to be strong and reached a new record level of €692 million in the first 9 months. As a result, we have increased the division’s order intake guidance, which we will come to in a minute. Looking at revenues, service growth was very good and equipment even a bit stronger. Nevertheless, we achieved a high book-to-bill ratio of 1.39 after 9 months. The EBIT margin before extraordinary effects stabilized on our target level, supported by good capital utilization and solid gross margins in both service and equipment. All in all, we’re really very pleased with the performance of our Automotive business. Next is Clean Technology Systems on Slide 13. Q3 orders were up year-on-year and reached a similar level as in Q1 and Q2. The pipeline looks good and still includes the larger battery coating projects that we talked about on the last call. Revenue grew sequentially, driven by Europe and the U.S. The EBIT margin was at a solid level during the seasonally weaker summer period and we expect a strong finish to the year. The return on capital employed is at a very high level. Let’s turn to Slide 14 and the Industrial Automation Systems division. Q3 orders and sales were supported by the consolidation of BBS Automation. On the positive side, we received several double-digit million orders in Q3 and the medtech business was robust. However, we continued to face delays in demand from e-mobility customers and are behind target levels for order intake. As a result, we have lowered the order intake guidance for Industrial Automation Systems, but this is offset by the increase in Application Technology. Sales growth was mainly driven by the consolidation effect of BBS Automation. Organic growth was slowed down by the delays in order intake. The EBIT margin before extraordinary effects was temporarily impacted by – in Q3 by customer insolvency and the re-evaluation of projects. We expect the margin to improve in Q4. Finally, let’s take a look at HOMAG on Slide 15. Order intake was stable at the level that we assumed in our guidance. The overall market environment has not yet changed. We continue to see weakness in the single machine market in particular. However, the service business continues to perform well. The year-on-year decline in sales in Q3 was similar to the first half year and in line with our expectations. The EBIT margin before extraordinary effects amounted to 3.3% after 9 months and is well within the target corridor of 2% to 4% for the year. Q3 is seasonally a stronger quarter and we had a good service contribution. Sales dynamics in Q4 is typically weaker due to the loss of working days for the Christmas holidays. With the successfully implemented capacity reductions, we have increased our resilience and are very well positioned to benefit from a recovery in demand when it occurs. Let’s turn to the Service business on Slide 16. The absolute sales volume has increased in Q3 and the share of total sales reached 28.4%. We have seen a strong Service business, especially at Application Technology and the continued solid development at HOMAG. We continue to focus on growing our Service business as an important factor in improving and stabilizing our overall margin. Now, Dietmar, I hand over to you for the financials.
Dietmar Heinrich: Thank you, Jochen, and a warm welcome from me as well. Let’s take a quick look at the financial overview on Slide 18. Overall, we had a solid operational performance in the first 9 months. You probably noticed that the reported EBIT in Q3 was higher than the EBIT before extraordinary effects. This is due to the book gain of €18.9 million related to the sale of Agramkow, which we already highlighted in our last call. Moving further down the income statement, I would like to mention the tax rate of approximately 35% for the first 9 months in Q3. This is higher than our standard assumption of a 30% tax rate and is a consequence of the geographic mix of profits and losses this year. As a result, we will likely see an elevated tax rate also for the full year. However, this does not change our long-term assumption of 30%. Let’s go now through the most important KPIs on the next slide. On Slide 19, we can see the revenue development over the last quarters. Q3 was basically flat compared to the prior year quarter. The growth in Application Technology and Clean Technology Systems and the consolidation effects almost compensated for the decline at HOMAG. Revenue generation was somewhat slower than expected due to some delays in automotive projects, as Jochen mentioned before, and in Industrial Automation order intake. However, we expect sales to accelerate in Q4. Looking at the geographical distribution, we see that China lost share, which was partly made up by Europe and the rest of Asia. Now let’s turn to EBIT on Slide 20. Here we can see the progress we have made since the beginning of the year. A major contributor was the Automotive business. The extraordinary expenses in the first 9 months were opposed by the book gain on the Agramkow sale, as already mentioned. All in all, we are well on track to meet our full year guidance. Slide 21. The next chart shows the free cash flow development. Q3 was another strong quarter at €38 million, driven on one side by prepayments and on other side the reduction in inventories. In the fourth quarter, we expect to see some impact from payments related to the workforce reduction at HOMAG. However, we are confident that we will be able to achieve the upper end of the guidance corridor of €0 million to €50 million. Depending on the timing of further orders, we may even be able to exceed it. The development of net working capital is shown on Slide 22. Net working capital as a whole was roughly stable at a low level compared to the end of Q2. A reduction in inventories and trade receivables was offset by an increase in contract assets and lower trade payables. Days working capital were 38 days and thus remain below the target range of 40 to 50 days. I’m actually very pleased with the net working capital performance and we will continue to manage it in a disciplined manner. Let’s turn to Slide 23 and look at the financial debt side, actually the net financial debt side. It decreased to €462 million, driven by the proceeds from the sale of Agramkow and the solid free cash flow, as already mentioned. Leverage declined to 1.4x net debt to EBITDA. In line with our expectations for free cash flow, we expect to be at the lower end of our net debt guidance for the year of between €500 million and €550 million. On the next slide, Page 24, you can see that our liquidity headroom remains very comfortable. The maturity profile shows the situation at the end of September. In October, we took advantage of our strong cash position and repaid a €52 million Schuldschein tranche that was originally maturing in 2025. Our maturity profile remains very well balanced over the next years. And with this view from the financial side, I will hand back to Jochen for the outlook.
Jochen Weyrauch: Thank you very much, Dietmar. Let’s take a look at our 2024 guidance on Slide 26. There are no changes to the Group’s target compared to our last call. We remain confident of achieving the top end of the order intake guidance, as already mentioned, the automotive project pipeline remains solid and we continue to follow our value before volume strategy. With a stronger order intake already in our books, we can be even more selective and stay on the conservative side with our guidance. As Dietmar already mentioned, we are now also confident to reach the upper end of the free cash flow guidance, which is also supported by the strong order intake. Looking at the revenue development in the first 9 months and some delays in the automotive customer side in project realization, we now expect revenues to come in at the lower half of the guidance range. Our margin development is well on track and we continue to focus on margins and cash flow. On Slide 27, we can see the breakdown of the guidance by division. Here we have made two adjustments that have no effect on the overall guidance for the Group. First, we have raised the order intake guidance for Application Technology to a new range of €750 million to €800 million. This is due to the strong order intake momentum that we have seen so far in 2024. On the other hand, we have lowered the order intake guidance for the Industrial Automation Systems division to a new range of €700 million to €800 million due to the continued delays mainly from automotive customers. We left the order intake guidance for Paint and Final Assembly Systems unchanged. Although, we already reached the lower end of the guidance range after 9 months. As I mentioned, the pipeline continues to look solid and we are following our value before volume strategy. We are very confident that we will reach the high end of the guidance corridor and maybe even exceed it depending on the timing of larger projects. This is always difficult to predict in our business. This is why we have kept the guidance as it is. Our unchanged mid-cycle targets for sales EBIT margin before extraordinary effects and return on capital employed are confirmed on Slide 28. Let’s summarize on Slide 30. In Q3, we had another high order intake driven by automotive customers who are investing in modernization. These are typically medium to long-term projects. Sales growth is on track. The weakness at HOMAG was more than offset by organic growth in the other divisions and the consolidation of BBS Automation in the first 9 months. The EBIT margin before extraordinary effects improved sequentially, driven in particular by Paint and Final Assembly Systems and Application Technology. The sale of Agramkow contributed to book gain and proceeds. Free cash flow generation continued to be strong. And finally, we confirm our guidance for 2024. Thank you very much for your attention. Now as always, we are happy to answer any questions you might have.
Operator: [Operator Instructions] The first question comes from Philippe Lorrain of Bernstein. Go ahead.
Philippe Lorrain: Yes. Good afternoon, gentleman. Thanks for taking the time. I’ve got a few questions actually. So the first one maybe is on the delays that you mentioned in automotive, especially in PFS. Could you shed a bit more light on these delays exactly? And what’s been really impacting your sales realization and project realization?
Jochen Weyrauch: Philippe. Yes, you want to put all your questions together first or do you want me to answer them one by one? Might be because we have a time delay in the line, if you don’t mind, if you ask all the questions in one shot, I’ll try or Dietmar and I’ll try to answer them also in one shot.
Philippe Lorrain: Yes, perfect. Then the second one was basically on your updated guidance on order intake for Application Technology. Now it looks like exactly like for PFS, basically for the Automotive business as a whole, like you are expecting a relatively weak fourth quarter. I know you’re typically quite conservative when you try to guide on order intake. But can you give a little more information what your expectations are right now, especially since you mentioned the order pipeline is quite strong? And how we could expect things also to move a little bit going into 2025? And then the last one is a technical one, probably more for Dietmar. I wanted to know exactly – like I’ve seen your free cash flow calculations. And if I look at the difference between your free cash flow calculation and what you show in the cash flow statement, it looks a little bit like different numbers on the net interest. So have you changed anything in the way you calculate that or has there been a typo somewhere? And that’s it for me.
Jochen Weyrauch: Thank you, Philippe. Then there is two questions for me, one for Dietmar, the delays in Automotive for PFS, there’s – I understand you’re asking for potential delays on the execution side. This is not really – you might suspect this could have something to do with the current situation in automotive, etcetera. It is on those projects purely delays in the execution, for example, of preparing buildings on time for us to start executing the project and consequently generating POC sales. It’s been in one case that the customer was still not done with the design of the vehicle. And consequently, we needed to adapt some layout. So this is what we currently see in Automotive, but don’t expect any orders to be taken off, etcetera. It is purely that some of the larger projects are a little bit behind schedule for the reasons I’ve just given. Then for – you were asking for the guidance, especially in APT. We – as I mentioned, we still have a good pipeline. So there’s projects underway. On the other hand, as we’re moving towards the end of the year, it’s very difficult to guess for some of the projects when they come in. And also, as I mentioned, we continue very clear with our strategy of taking orders that help the business. And this as a combination, your statement is absolutely adequate to say that we are typically trying to stay maybe a bit more on the conservative side, which we are doing. And as I mentioned in my speech before, in a maximum case, it might be that we exceed the upper end of the guidance. But at this point, we are prudent because some of the projects still need to be decided and we will have to see. And I will hand over to Dietmar for the free cash flow.
Dietmar Heinrich: Yes, okay. Thanks. Yes, Philippe, in regard to the free cash flow, especially when we consider the development in the first three quarters and then the guidance for the whole year that we just adjusted to the upper end, this would actually indicate that we might have a negative cash flow in the fourth quarter. Reason being is that the payout for the HOMAG headcount reduction program will happen now in the fourth quarter and we will also see higher CapEx payments because we just started in the third quarter the new factory building for HOMAG in Eastern Europe. So, that’s why we expect actually weaker cash flow development. On the other side, with what Jochen just explained regarding potential order intake, then in the fourth quarter, still on the automotive side to come in, we might have additional, let’s say, initial payments as well. So, we might even get into a situation where we would see the upper end of the guidance.
Philippe Lorrain: Okay. Thank you. I will take the more technical question on the free cash flow calculation actually offline, but I understand the details that you provided with regard to Q4. Thank you.
Dietmar Heinrich: Thank you, Philippe.
Operator: Thank you, Philippe. The next question comes from Nikita Lal, Deutsche Bank.
Nikita Lal: Yes. Hi. Thank you for taking my questions. I would have also three. So, you gave us some color on Q4, but could you maybe tell us where are your markets trending to? And then the second question following that, what – I mean I acknowledge that you are not guiding on 2025 yet, but could you give us a qualitative outlook by segment what you expect next year to change? And then the third question is just a question on your PFS margin, you mentioned that the substantial improvement came from gross profit. Could you maybe give us some clarification here? Thank you.
Jochen Weyrauch: Thank you, Nikita, for the questions. I counted two. If I missed out on one, please let us know. So, yes, Q4 and then a little bit view into PFS margin, makes it three. Okay. On the Q4 market trends, we have – as I mentioned, there is a number of projects underway. Do we see – it’s always hard to judge with the big projects in automotive what will come when. But it is not that we see the end of the pipeline, it is actually – the market continues to look healthy. Will it be at exactly the same high levels as this year into next year, we will have to see. But in any case, as I mentioned, there is projects we can book and we will have to see when they come in with all the volatility in the market. So, then you wanted to get a bit more light on the market development by segments. I think, automotive, I basically covered including PFS and APT. If you look more on industrial automation, which comprises mainly our shank business, the balancing business and our newly acquired activities around the industrial automation activities of BBS and Teamtechnik, we see a market that is at the moment impacted to some extent with the slower progress on investments around e-mobility. And that might still take a little while, a quarter or two quarters. And then we expect some catch-up investments and we will have to see that. On the other hand, within our automation activities, we are making, as I mentioned, good progress on the medtech side. Here, the market size is not really the issue, it is more that we are step-by-step developing into the market and it’s all about gaining credibility, references, etcetera, which I believe we are making good progress. And last but not least, if we count the three divisions as the structure of next year, then HOMAG. HOMAG, we have not seen a recovery yet. We had said we don’t expect this to happen before the end of the year, this is confirmed. So, we are stabilizing at the low level, as we had mentioned. Our cost saving activities are working. You have heard from Dietmar also that we follow also our strategy to improve the cost base by a mix of activities in the geographies. And this is why we have laid foundation for our facility in Eastern Europe. And our hope is that the market somewhere in the first half of the next year shows signs of recovery, but this is what we have to watch. We don’t see anything happening right now other than in the last few weeks, we have seen a bit more activity on the single machine market, but very slight activities. Let’s see what that means going forward. But we are still a little bit cautious around HOMAG. This is why we are continuing to do our homework to be well prepared when the market comes back. On the PFS margins, you can see the uplift in the sales margin to more than 6% currently. And that really already shows that we are moving roughly 2% ahead of prior year. And that shows that all the activities that we have implemented around the strategy are now finding their ways already into the sales margin. And I would expect this to further stabilize looking at the healthy backlog that we have. Hopefully, that covered your questions, Nikita, otherwise please ask.
Nikita Lal: Thank you very much.
Operator: So the last question in the queue is from Holger Schmidt, DZ Bank. The floor is yours.
Holger Schmidt: Yes. Hi. Good afternoon. Thanks for squeezing me in. A couple of questions have already been answered, but my first question is on the industrial automation business. Here the margin was relatively weak in the third quarter and you also lowered the guidance, how should we think about the trajectory of profitability in the next 2 years? And then again, coming back to the auto business, to some extent, you have already described it. I mean the auto industry is currently under fire. We have cost savings. We have capacity adjustments. I think the companies are all in the budgeting process. When and how do you expect this to be mirrored in your business development? As far as I could take your comments now, you don’t see the impact. But why don’t you see the impact, what’s the reason?
Jochen Weyrauch: Thank you, Holger, for asking. First, on industrial automation, let me start with the outlook and then come to the actual situation. We continue to be positive around the business because the approach is right. We are building the – basically the second largest player in industrial automation. We have received also orders, good orders in July and August, also orders where again we could confirm as turnkey orders that are both assembly, which is the BBS side and testing, which is the Teamtechnik side, the two main companies we have acquired, and our strategy works, but the market is currently somewhat weak, which you see in the order intake numbers. But we assume a catch-up effect to some extent coming in the next 12 months to 24 months. On the margins side, we have a few effects in the books where we have made adjustments also capacity adjustments reallocated to the business in order to realize synergies. We have had one insolvency of a customer in North America that we had to digest in the books, plus some cleaning up of some projects and this has impacted the margin on an operational basis. And looking forward, our view on the business has not changed. On the auto industry, of course, we are dealing with customers who are under pressure, that’s for sure. And automotive is always not the easiest business on this planet and this has not been in the past. It’s not today and it won’t be tomorrow. And of course, I am not neglecting the challenges that the customers have. But this has – of course, we read this now more in the media, but that situation has been around for a while. Why are we still getting good orders, it is really as our customers run a fleet of paint shops, especially that are very old and consume a lot of energy and are very bad from an ESG perspective. And many of those paint shops are old. They need to be refurbished in combination with the demand to reduce their footprint and reduce operational expenses. Many of the customers, despite the fact that they, of course don’t want to overspend on CapEx, they are still investing into our equipment. And as we mentioned before, we assume this to be there for a real number of years. And this might slowdown temporarily in a few cases, but it will not dry out. And this is what we are seeing from our pipeline. Might it be – is it possible that in a year from now, our automotive sales are slightly down or somewhat down from this year, might well be, but we are building a healthy backlog. We are well protected for the foreseeable future. And consequently, we are quite positive in terms of weathering the situation in the automotive industry and continue to book the right orders for us.
Holger Schmidt: It sounds good. Thank you very much.
Jochen Weyrauch: Thank you, Holger for asking.
Operator: Yes. We have another question from Philippe Lorrain of Bernstein. Philippe, you are muted maybe. Okay. Maybe he is not more in line. Okay. Thank you very much. We have no more questions.
Andreas Schaller: Okay. Thank you very much. If you have – if there are further questions may be coming up after the call, just please contact the Investor Relations team. We will be happy to answer your questions. So, thanks a lot for your time and your interest. We know it’s a busy reporting day and we also have a lot of other news flowing around that might keep you busy. So, we look forward to staying in contact with you. We will be on a number of conferences during the next weeks and hope that we meet one or the other also in person. Thank you very much. And Jochen, anything else you want to mention?
Jochen Weyrauch: No. Thank you very much, Andreas. It’s quite late here in China. So, Dietmar and I are probably ready for the last beer and then we will go to bed. And really thank you for joining. As Andreas said, in a very interesting day, interesting time, interesting week, we must say, and all the best to you. And again, thanks for joining.